Operator: Good afternoon, and welcome to Cryoport's Fourth Quarter and Full Year 2023 Earnings Conference Call. All participants will start in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. If at any time during this call you require immediate assistance, please press star zero for the Operator. As a reminder, this call is being recorded. I will now turn the call over to your host, Todd Fromer from KCSA Strategic Communications. Please go ahead. 
Todd Fromer: Thank you, Operator. Before I get started with this, I just want to correct the record. This is the Cryoport First Quarter Earnings Conference Call. Before we get started, I would like everyone -- I'd like to remind everyone that this conference call contains certain forward-looking statements. All statements that address our operating performance, events or developments that we expect or anticipate occurring in the future are forward-looking statements.   These forward-looking statements are based on management's beliefs and assumptions and not on information currently available to our management team. Our management team believes that these forward-looking statements are reasonable as and when made. However, you should not place undue reliance on any such forward-looking statements because such statements speak only as of the date when made. We do not undertake any obligation to publicly update or revise any forward-looking statements, whether as a result of new information or future results or otherwise, except as required by law.   In addition, forward-looking statements are subject to certain risks and uncertainties that could cause actual results, events and developments to differ materially from our historical experience and our present expectations or projections. These risks and uncertainties include, but are not limited to, those described in Item 1A, Risk Factors, and elsewhere in our annual report on Form 10-K filed with the Securities and Exchange Commission and those described from time to time in other reports which we file with the Securities and Exchange Commission. It is now my pleasure to turn the call over to Mr. Jerrell Shelton, Chief Executive Officer of Cryoport. Jerry, the floor is yours. 
Jerrell Shelton: Thank you, Todd. Good afternoon, ladies and gentlemen. Thank you for joining our first quarter earnings call today. With us this afternoon is our Chief Financial Officer, Robert Stefanovich; our Chief Scientific Officer, Dr. Mark Sawicki; and our Vice President of Corporate Development and Investor Relations, Thomas Heinzen.   As a reminder, we have uploaded our first quarter 2024 in review document to our website. It can be found under Investor Relations in the News & Events section. This document provides a review of our financial and operational performance and a general business outlook. If you've not had a chance to read it, I would encourage you to go to our website and download it. I will provide you with a brief update on our business, and then we will take your questions.   For the first quarter of 2024, we continued to experience a difficult environment globally. Our quarterly results were disappointing across the board, particularly in our life science products. However, as we stated when we initially provided our annual guidance, we anticipate our total revenue will progressively improve throughout the year, and we maintain our full year revenue guidance of $242 million to $252 million. I am sure some of you are asking, what makes us confident? Well, there are several things. For example, despite the near-term challenges, we are still quite positive based on the momentum we're seeing from our cell and gene therapy clients and from the growth of our BioStorage/BioServices revenue.   If you look at our results, you will see that our first quarter commercial therapies rose 9%, while BioStorage and BioServices revenue also rose with the same amount. Both these services areas should continue to be growth drivers for Cryoport in 2024 and beyond. We're also encouraged by new clients slated in the biopharma market and some positive signs recently in the cryogenic systems market. As I indicated, our Life Science Services revenue growth for the first quarter was softer than anticipated, increasing 3% year-over-year. There is, however, a bright spot as the cell and gene therapy market seems to be gaining some momentum again. To date this year, 3 new therapies have been approved, 3 existing commercial therapies were approved to move to an earlier line of treatment, and 2 therapies were approved to expand their label or geographic territory. By combining the expected revenue ramps of existing and new commercial therapies, we believe we should see revenue acceleration from our cell and gene therapy clients over the remainder of the year. Currently, we think an additional 16 global regulatory filings will be completed before year-end.   As of March 31 of this year, Cryoport supported a total of 675 global clinical trials, a net increase of 23 clinical trials over the same time last year. As of the quarter end, 77 of these trials were in Phase 3, along with 312 of them in Phase 2. As we have said before, our clinical trial portfolio represents a substantial long-term revenue growth opportunity for Cryoport as more therapies advance through the clinical trials towards commercialization.   Our outlook for the rest of the year with commercial therapies looks strong with potentially 5 additional new therapy approvals and 3 additional label or geographic expansions.   Turning to our Life Science products, similar to last quarter, this business revenue was lower than in prior years. This is due to decreased demand for MVE Biological Solutions cryogenic systems. This in turn was attributable to a continued slowdown in capital equipment investment that began last year. Although global in nature, as we have reported previously, the most severe pullback in demand continues to be in China. While we expect MVE's cryogenic systems sales to be challenged throughout the remainder of this year as biotech funding, government budgets, and academic budgets are constrained, we expect to see gradual improvement in demand in the ensuing quarters.   MVE is a well-managed business, and we want to remind investors that even in this difficult time, it continues to produce free cash flow for our company. MVE is the leading manufacturer of cryogenic systems worldwide, and we are confident in the long-term prospects of our products business. And when demand normalizes, and we believe it will, we will benefit from our position as the global leader in this space.   In summary, and to put it plainly, there is simply no other company with the extensive resources Cryoport has in providing a full array of innovative, reliable end-to-end supply chain solutions for the life sciences. With advanced services, products and information systems focused on reducing risk and located in 50 locations in 17 countries, Cryoport is well prepared to support the expansion of the life sciences and especially the growing cell and gene therapy market.   Based on our clients' forecast and fueled by industry indicators for cell and gene therapies and the life sciences, we continue to build out services, products and infrastructure to prepare ourselves to provide comprehensive and dependable supply chain support for these life-saving treatments. However, considering the current macroeconomic challenges and their impact on our financial results, we are implementing a number of initiatives to drive toward positive adjusted EBITDA and cash flow in the near term. These include improved alignment of our global organization, reduction in our workforce, leveraging lower-cost shared services, refining and reprioritizing planned initiatives, and delays in capital spending as a result of reprioritization. All of which should positively impact the second half of 2024.  We are mindful of our need to maintain a strong balance sheet to support our future growth, and we ended the quarter with $448 million of cash balance -- $448.5 million cash balance. This concludes my prepared remarks. Now we're going to be happy to take questions from you. Operator, please open the lines for questions. 
Operator: Thank you. Ladies and gentlemen, we will now conduct the question-and-answer session. (Operator Instructions) Your first question comes from Tejas Savant from Morgan Stanley. 
Tejas Savant: This is Edmond on for Tejas. Thank you for the time. First question, could you guys provide some more color on how things played out at MVE? Where do customers stand today in terms of their need to expand their base capacity? And what do order books look like heading into the second half? 
Jerrell Shelton: MVE? Okay, Tejas, repeat that question again, please. Just one second. 
Tejas Savant: Sorry, Jerry, this is Edmond. But the question was, could you provide some more color on how things played out at MVE this quarter? Where do customers stand today in terms of their need to expand their fees and capacity? And what do order books look like heading into the second half of '24? 
Jerrell Shelton: Okay. That's a good question. And look, MVE tracks its orders and talks with its distributors and its direct customers on a regular basis. There's simply been some pullback in funding in government and institutions and business. And that seems to be breaking. We seem to be -- we do know that in the last half or the second half of this quarter this year, we will have -- it looks like we have orders lined up for large pharma and for midsized bio repositories. And we think that there's some government spending that will be in the last half. We think we'll have a progressive improvement in the MVE in the second half of the year. The whole banking on MVE in China -- then China is, continues to be in recession, and we do not expect China to improve for the remainder of this year and probably into the next year. There's been a reduction in biotech funding, and there's been some breeder programs instituted by the government, and all of that's affected our business. However, we do have initiatives to compete within China on a very effective basis. I want to remind you though, China only accounts for about 5% of our total revenue at this point. 
Tejas Savant: Got it. That's very helpful. And then a higher-level question. Some of the traditional logistics companies such as UPS have recently expressed an interest into expanding into the healthcare vertical. Now, are there any opportunities for a company like Cryoport to work with those providers? Or do they represent more of a medium-term competitive threat to the business model? 
Jerrell Shelton: Over the recent time, UPS has become more of a competitor or tried to at least. But we work with the integrators on a regular basis, and we have for 12 years since I took over the company. We've had strategic relationships with them which we've talked about on a frequent basis. In some cases, we work more closely than in others. UPS has been the most aggressive due to the purchase of market, but they don't really pose a tremendous threat to us. We still use them as an integrator in many of our services. 
Robert Stefanovich: They also use our equipment sets on a regular basis in conjunction with programs that they're supporting through their healthcare vertical. 
Jerrell Shelton: That's an important point. That's MVE equipment. 
Tejas Savant: Got it. And then one housekeeping question for the model. What percentage of the product revenue is from MVE and what percentage is from legacy Cryoport systems? 
Robert Stefanovich: It's really -- if you look at the product revenue, it's really the vast majority, so in excess of 95% of the revenue is related to MVE cryogenic systems. 
Operator: Your next question comes from Matt Stanton from Jefferies. 
Matthew Stanton: I appreciate the color on focus near term on EBITDA and cash flow. It sounds like you have a number of initiatives in motion around that. Can you just help us quantify what the impact could start to look like to OpEx as we move into the back half of the year? Just trying to get a better understanding of what total cost savings or improvements we could start to bake into the P&L here. 
Robert Stefanovich: Yes. No, thanks for the question. Look, at the current time, we obviously just provide guidance related to our annual revenue. But with that said, I can provide a little bit of information overall. We have been and are taking continuously actions and review of our initiatives, of our CapEx spending, pushing out some of the CapEx spending that is not driving kind of near-term revenue or is not critical to our near-term initiatives. If you look at the overall operating expense, a couple of things. One, we've been building out our infrastructure over the last couple of years as you know. And we're looking to see leverage of that infrastructure and capabilities that we built out. We expect to have that substantially complete in 2026. As revenue grows, we're going to see better operating leverage of the overall infrastructure that we set up. In terms of the specific question and modeling out the second half of the year, I would expect a drop in operating expenses. I can't tell you exactly the percentage. We'll provide some more clarity there. But certainly, we do expect to see an impact in the second half on the operating expenses. 
Matthew Stanton: Okay. Thanks. That's helpful. And then maybe back over to MVE. You talked about how sales kind of remain challenging there and a gradual improvement through the year. I think prior you guys have baked in kind of flattish growth in MVE for the year. Just given kind of the slower start, should we still expect MVE to be flattish in '24? Or is it down for the year? And I guess if it is now down in '24, what other areas are potentially offsetting that to reiterate the guide for the full year? 
Jerrell Shelton: No, Matt, I think you can expect MVE to be flattish for 2024, and so you'll see that improvement in the last half, which will create that. And then I think we'll have some progression in 2025. Look, we went into a situation where the market pulled back in the second half of 2023 severely, and that probably had to do with some extra capacity buildup from COVID plus the economic situation, which caused people to pull back on budget and governments pulling back and so forth. But some of that is freeing up. At some point, you have to have more capacity. We do think it will be flattish in 2024 and improving in '25. 
Robert Stefanovich: And the driver really for the revenue, especially in the second half of the year, is related to our services offering and revenue. 
Matthew Stanton: Okay, great. And maybe just one last quick one. The Phase 3 trials dropped to 77. I know you expect some normal kind of fallout in there. Any more color you can provide on just the gross and net numbers for Phase 3 in the quarter? And did it have any impact on 1Q revenue given those programs are generally a bit more meaningful than some of the earlier phase programs? Thank you. 
Robert Stefanovich: Yes. We're still seeing a lot of churn as it relates to clinical trial activity. If you drill into the flat sequential quarter, we actually saw 42 trial terminations, 20 of which were completed and 22 terminated. Those that were terminated in many cases were due to cash. Of those, obviously you saw a drawdown of the phase, some of the Phase 3 trials. We also added back 42 programs. Obviously, there's a lag period associated with those as they get up and running. But we did see an impact on a couple of terminations in Phase 3 that did show some -- obviously that had an impact on where we thought we were going to see some accretive activity there that was relatively flat. But the good thing is that the new programs that are starting are really diversified and will start to contribute in the coming months. 
Operator: Your next question comes from Puneet Souda from Leerink Partners. 
Puneet Souda: This is Philip on for Puneet. Maybe just a high-level kind of question. Coming off a softer first quarter, you got an implied ramp in the second half that's a bit steeper. Can you just maybe give a bit more color on sort of the levers that gives you confidence to reiterate your guidance? Kind of if you expect MVE to improve sequentially in the second quarter, or if that still hasn't bottomed out? Or just kind of what are the different levers that will take us to the low end versus kind of like the high end of the guidance? Thank you. 
Jerrell Shelton: Sure. I'll start the answer and then Robert and Mark may want to chime in with some other thoughts. But our outlook is based on the trends that we're currently seeing industry-wide as well as what we specifically are seeing from our cell and gene therapy clients. If you take these factors into -- taking those factors into consideration, and we're confident as one can be given the current economic and the geopolitical landscape, there are a number of clients with commercial therapies that are forecasting a second, a strong second half ramp. And we also are seeing a number of new therapies approved recently and their ramp should contribute to our revenue growth later this year. And then there's the biotech funding increasing dramatically in quarter 1, and we should see some impact from that later this year. And we're having new products and services launched throughout the year, which will bring in new revenue. So all in all, we believe that each of our businesses will grow in 2024. As highlighted in the press release, our service business should lead the way and I think Robert mentioned that a little bit earlier. Robert, would you like to add anything? 
Robert Stefanovich: No, I think you mentioned most of it. We do expect progressive improvement, and yes you're right, especially in the second half. And if you look at some of the core revenue drivers, commercial revenue, BioStorage/BioServices revenue. And even maybe a clarification on commercial revenue, you look at the commercial revenue growing 9% year-over-year, but we also take a look at the trailing 12 months revenue because you have some lumpiness there in terms of timing. When you look at 12 months over 12 months for Q1 over the 3 and 12 months last year, it grew about 27%. If you look at that, plus the additional BLA filings, MAA filings and expected approvals that we see this year, you'll see continuous momentum that will keep driving the services revenue to meet or beat our revenue guidance for the year. 
Mark W. Sawicki: Yes. Let me just add to that. Obviously, a lot of our commercial folks have come out with earlier line approvals. Obviously, BMS and J&J. Sarepta might have a significant expansion coming out after the end of the second quarter, all of which should contribute to increasing activities as it relates to commercial. And then obviously, the recent approvals for Iovance, CRISPR/Vertex, Bluebird, ImmunityBio and Atara are also going to start to contribute in a more meaningful way. 
Puneet Souda: Got it. That makes sense. And then maybe just one follow-up housekeeping question. I guess I know you guys don't have too much exposure to China, but have you thought about kind of how much risk there is for the BIOSECURE Act and any retaliation to that for your business? Any initial disruption there? 
Jerrell Shelton: Yes, we have. We've thought quite a bit about it and we studied China quite a bit. Look, China is the second most powerful country in the world and has more trading partners than the United States. It's an extremely important country, and it's not going away. And we have an investment in China. We have a plant in China, and that plant is staffed by some very capable people. And we have an initiative to compete better in China given President Zhi's buy in China what's made in China. And so we'll be manufacturing freezers there in the future for that Chinese market. But the Chinese market is -- there are some risks, but you have to pay attention to the rules of the game and play there. We're not going to go back to the '30s and '40s with China. China is here to stay and we have to learn how to work with that economy and assess the risk and move forward. We only have about 5% of our revenue exposed right now, but we think the potential there is substantial over time. It's in economic recession right now, but it will get out of that over some period of time. 
Operator: Your next question comes from Lucas Baranowski from UBS. 
Lucas Baranowski: This is Lucas on for Dan Leonard at UBS. I guess to start things off, there's definitely been an increase in oil prices since the start of the year. Given that increase in costs, are you finding that you're able to pass that on to customers? And should we expect any kind of a margin impact there over the near term? 
Jerrell Shelton: On extraordinary situations, we do have surcharges that we pass on where we pass on extra costs. I don't think you should expect margin impact from the petroleum increase. 
Lucas Baranowski: Okay. And then just one more here. I guess going back to the China theme, you touched on it a bit, the initiative you have to begin manufacturing locally a little more over there. Are there any updates you can provide on how that's progressing and when that new capacity could come online? 
Jerrell Shelton: Well, of course, it's a small initiative given the entirety of our company, and we are not in any hurry to make that investment right at this particular time. Although that motion is still active. You would see probably mid next year, you'd probably see made in China product coming out of the Chinese factory. In addition to doors, it would be freezers as well. 
Operator: Your next question comes from David Larsen from BTIG. 
David Larsen: Can you talk a little bit more about these cost reduction efforts? And I know that you've been very reluctant to reduce labor across your firm. That's certainly very admirable. But just any more color there would be helpful. Do you expect to become EBITDA positive by say 4Q of '24? Or any sense for the number of positions that might be reduced? Or anything like that would be very helpful. Thank you. 
Jerrell Shelton: I just want to make a couple of broad comments and then turn to Robert for more specific comments, David. First of all, we're not reluctant to adjust our business in any way given circumstances after we have assessed them. We take great pride in being responsible in the way we manage our business and the assets that belong to the shareholders of this company. It's our fiduciary responsibility to be responsible and that's -- and we take that very seriously. We're not -- when things -- business ebbs and flows, and when it's appropriate, we adjust. We adjust, just as I said in the opening comments, with those initiatives that I mentioned there. Now to give you a little bit more color on your specifics, I'll turn it to Robert. 
Robert Stefanovich: Yes. Look, in general, we certainly are working towards getting back to positive EBITDA. And that, you're absolutely right, this is driven by some of the initiatives that we're taking related to cost reduction, related to picking up on the topline revenue. These are things that we always do, but to give you maybe a few data points, just as you look at Q1, we had about 8 -- a little bit over $8 million in cash burn. Of that, a little over $4 million was related to CapEx expenditures. We are moving out some of the CapEx as we mentioned earlier on the call, just related to initiatives that are not high priority. Certainly, we're still making the investments in some of the key initiatives such as IntegriCell, the cryopreservation processing platform and other key offerings that we've been working on and that have partially already been introduced into the market space. As you would expect with any company, especially with a company that has done a number of acquisitions, we are looking to leverage our current capabilities and current resources. Can we leverage shared services? Absolutely, yes, we can do that. Can we fine-tune the resources that we have and streamline it? Absolutely. And those are things that we have been working on over the last few months that we've already started rolling out and that we expect to have an impact in Q2 towards moving us into positive EBITDA. We're certainly very focused on maintaining a strong balance sheet, maintaining a strong cash balance, and that all feeds into that equation in terms of how we look at our operational capabilities and investments. 
David Larsen: Okay. That's helpful. And then can you maybe talk a little bit about the revenue that's being generated from BioStorage, BioServices and also IntegriCell? And any update on storing allogeneic therapies? I know obviously, 1/3 of your trials are allogeneic in nature, but in terms of storing that actual cell tissue, has that started yet? Any revenue coming from that yet? 
Jerrell Shelton: Let -- Mark and Robert both may have some additional comments here. They will have some additional comments, David. But IntegriCell is not a subject right now for revenue because it won't be coming online until the last half of the year, and that will be the beginning of a ramp-up. And after that, you will see revenue -- over time, you will see IntegriCell producing significant revenues for the company. It's a service that's needed. The partnerships are coming along well. The factories are coming along well, and we have great anticipation of IntegriCell. In terms of a couple of the other things, on BioServices in particular, Mark can better comment on BioServices and how that's coming along. 
Mark W. Sawicki: Yes, I want to focus on your specific question around allogeneic therapy as it relates to the need for storage and fulfillment-related capabilities. We have, obviously, as part of the infrastructure build over the last 1.5 years, built out competencies for secondary labeling and packaging requirements, which are all a base need for allogeneic therapy distribution. Those are currently being used by both clinical and commercial clients, both in the U.S. as well as in Europe. We've been very successful in transitioning that investment into direct support of the cell and gene space itself. Obviously, there's really -- the only real allo product on the market right now is Atara, which is a low volume indication right now, so there's not going to be a significant financial impact on that in the short term. But there's also a contribution into BioServices over time for autologous therapies where we're supporting backup doses as well as other support elements, which also has the competency over time to support additional revenues. 
Robert Stefanovich: Lastly, maybe just to add there, you were looking for a dollar amount. The BioServices revenue grew 9% year-over-year to $3.5 million in the first quarter. 
David Larsen: Okay. And I think that there were 2 large facilities that are fairly new that came online recently. One in Texas, one in New Jersey. Are those profitable now? 
Robert Stefanovich: Look, we're still in the early stages of our BioServices initiatives. And both of those were introduced, and so we're really working towards filling up and bringing up the revenue in BioStorage/BioServices. We're in the early stages. When Mark was talking about utilizing them for the commercial therapies for example, this is all just now commencing. We're not, obviously not fully utilized at this point in time. 
Jerrell Shelton: David, remember, once we open those facilities, those facilities were opened in I think it was June a year ago. It takes 6 to 18 months for clients to come in. They have to do their audits and they have to do their trial runs, and then they have to rearrange the traffic for what they're doing. So, it's just now ramping up. It does -- BioServices, we always anticipated an exponential development, so I think we're still down there right around that point of inflection, and I think you'll see it picking up over time. 
Thomas Heinzen: Actually, I just want to comment on this. We have -- over the last 12 months in those facilities, we've actually onboarded 27 clients. 
David Larsen: Okay. And then just one more quick one. I think on last quarter's call, you talked about 9 new therapies for 2024 and 17 filings in 2024. Does that mean 9 new commercial therapies that you're supporting coming online in 2024? Is that what that means? And how is that number as of today? Is it still 9 and 17? 
Mark W. Sawicki: We have had, so far this year, 3 new therapies get approved. That's Casgevy, the CRISPR Vertex product, AMTAGVI from Iovance, and most recently, Anktiva from ImmunityBio. In our reporting today, we're saying we can see 5 more new therapies approved this year, so that would give you 8. But it has one I'll call it pushed out. It hasn't gone away. It's probably going to be a 2025. And right now, we're seeing 16 more filings in 2024. 
Operator: Your next question comes from Paul Knight from KeyBanc. 
Paul Knight: Mark, I have a question for you for starters. And that is, the Phase 3 trial customer count was up the most in those -- that press release, meaning up 5.6%. Is this a significant indication that biotech is getting some money and getting back into the trial business early stage? 
Mark W. Sawicki: Well, we are seeing a lot of new money starting to come back into the space. We still see a lot of volatility and churn, as we had mentioned. We had a net add of 42 trials in the quarter with a net removal of 42 trials. We only -- our whole focus is around playing the portfolio, which means the collective average so that we will have winners and users as it relates to those. But as long as we're supporting the vast majority of those trials in the space, then we're on the upside, and we remain confident in that. And with the funding position seeming to stabilize and improving in Q1, obviously we need to see if that's sustainable, that's a positive indicator. 
Paul Knight: And then I think the [conference Deltia] was like 8,000 employees. I mean that's obviously a record. And non-employees, but attendees and I think it was the American Society of Cell & Gene Therapy, right? Are you seeing an uptick in potential customer interest? 
Mark W. Sawicki: Yes. I mean there's a lot of new start-ups, and so a significant percentage of those 42 new programs came from new clients, which is a very good sign. 
Paul Knight: And then what's -- I mean, we talk about a $7.7 million EBITDA loss. What do you really want to run the business at, Jerry, in a few years out? Is this a 30% EBITDA margin business? Or is it 25%? 
Jerrell Shelton: Paul, our goals have not changed. I mean our goals are 55% to 60% gross margin and 30% adjusted EBITDA. Our goals have not changed, and we do examine them often, so that's the metrics that you should be looking for from us. 
Operator: Your next question comes from Yuan Zhi from B. Riley. 
Yuan Zhi: Can you help us better understand the weakness in biologics services in 1Q? Was it because of lower volume? And how about the visibility and confidence in 2Q and beyond? And I have a follow-up. 
Jerrell Shelton: Mark's going to answer your question, but this has to do with the report that you put out just recently I assume? 
Mark W. Sawicki: No, he's talking about BioServices. I'm sorry, can you repeat the question, guys? Because we're confused. I think it was a little garbled over here. I thought you said biologics and Jerry thought you said BioServices. 
Jerrell Shelton: No, I thought you said biologics, he said BioServices. What is -- repeat the question? 
Yuan Zhi: Yes. Can you help us better understand the weakness in bio logistics services? Was it because of lower volume? And how about the visibility and confidence in 2Q and beyond? 
Jerrell Shelton: Okay, good. Okay, Mark can answer it now. 
Mark W. Sawicki: I get it now, yes. Biologistics revenue was softer than anticipated because we saw those 42 trial terminations and many of those were established programs with active volume that was ongoing. Those were replaced by 42 new starts, but those 42 new starts take time to ramp. And so just because we onboard them in the quarter, usually it's 1 to 2 quarters later before we start seeing a contribution as it relates to financial contribution. We'll see progressive improvement on that as those new programs come online. 
Yuan Zhi: Got it. And then on MVE, it seems now it's dropping from the last quarter and I'm just curious, was it because of canceling of orders or was it because the customers are not just there yet? 
Mark W. Sawicki: There was demand softness, continued demand softness. And again, mostly out of China, it was not cancellation of orders. 
Yuan Zhi: Got it. And one last one from us. For the goals to reduce some capital costs or reducing some costs in second half, I'm curious, will that impact the revenue part? Because if you are cutting workforce in sales and sales, it could have a certain degree of impact. 
Robert Stefanovich: No. If you look at the actions that we're looking at related to as I mentioned, some of the CapEx that we're moving out, these are not initiatives that will have impact on our near-term revenue. They're not the high priority initiatives that we're working on. Same with some of the headcount review. This is not something that we expect to have any impact on our revenue as well as on our client relationships. Again, this is seen more as in the organization taking a closer look, especially after the number of acquisitions that we've completed, and then kind of refining and the organizational structure. 
Operator: Your next question comes from David Saxon from Needham. 
David Saxon: Great. I've been in between calls, so I apologize if I am repeating any questions. But Jerry, maybe I'll start with you. On the fourth quarter earnings call back in mid-March, you did seem to confirm expectations for sequential growth from the fourth quarter into the first quarter. Over the 2 weeks before quarter end, were there any orders that got pushed out into the second quarter? Or what were the factors that drove the shortfall of sequential growth? 
Jerrell Shelton: We did speak with confidence in the fourth quarter. We didn't know exactly how the first quarter was going to turn out. But what -- we didn't say we were having a strong first quarter. What we did say is we gave revenue guidance and we said we would progressively improve throughout the quarters. And then the guidance came out higher than we expected it to come out, but it did come out that way. And we did have -- we recognized the weakness in the marketplace at that time and that's why we said that we would have -- we would see a progressive improvement over the year. And I did confirm our guidance today. That's what happened. There was nothing specifically I could say other than the market was slow, and we knew it was slow at the time, and it was a little bit slower than we anticipated. We were disappointed in the first quarter. But Mark may have something to add to that as well. 
Mark W. Sawicki: Yes. Obviously, we don't give guidance on a quarterly basis. We're really looking at the entirety of the year itself. And across the board between ourselves and other players in the space, we do strongly anticipate a continuous progression in the second half of the year. You look at uptick in consumables for the life sciences. That's a very strong indicator as it relates to pickup. And that was picked up in Q1, which does indicate development of therapies that will need biologistics and biostorage through the rest of the year. Sequencing itself is sometimes difficult to ascertain because you can't have rollover from one quarter to the next. And the question is, things that come in towards the end of the quarter, even if they have a P.O. or something else that slips that you don't anticipate, it could have a fairly significant impact on that end of the quarter revenue. We did see some P.O.s and things like that slip out of the first quarter into the second quarter. 
David Saxon: Okay. Maybe, Mark, I'll follow up with some of the comments you just made. And I appreciate the cadence might be kind of difficult to predict, but I thought you said you expect continuous improvement in the second half. Should we think about the second quarter being kind of flattish sequentially? And then we see some sequential growth in the second half to get to the guidance range? And then I'll just ask my second question here. This might be for both Jerry and Robert. On Bluebird Express, I'd love to hear how that integration is going. And then by my estimate at least, revenue contribution was around $3 million. Is that in the right ballpark? And is that a good base that we can see growth off of? Thank you. 
Jerrell Shelton: I'll let Robert comment. 
Robert Stefanovich: Yes. Maybe talk about your first question. Just if you look at what we experienced in Q3, Q4 of last year, we saw actually a slight improvement in Q4. Hence, our outlook was the way we described it at year-end. With that drop off, as Tom mentioned, particularly in Asia Pac in Q1, some of that was certainly unexpected. But what we did talk about is to see a progressive improvement throughout the year, and that progressive improvement really weighted towards the second half of the year. I can't give you specifics related to Q2, but I can give you those 2 datapoints as the progressively improving and then weighted towards the second half of the year. 
David Saxon: Okay. Yes, that's super helpful. And then just on Bluebird Express, if you could? 
Jerrell Shelton: Yes, Bluebird Express is integrating very well with CRYOPDP. It's a small acquisition, but we have done business with Bluebird Express for a number of years at Cryoport Systems, and it's a known quantity, it's having a very positive impact. It knows the U.S. market and it's having an impact on the development of CRYOPDP. We're opening 3 new logistics centers in the U.S. to build out that network and I think we'll have a good year at CRYOPDP. 
David Saxon: Okay, and so it sounds like $3 million might be the right ballpark for contribution? 
Robert Stefanovich: Probably at the lower end, but I think for modeling purposes that's fine. 
Operator: There are no further questions at this time. Speakers, please proceed with your closing remarks. 
Jerrell Shelton: Okay, thank you. Thank you for your questions and our discussions. Our first quarter results echoed a challenging global environment. Though market improvements and through market improvements and our actions, we expect our results will progressively improve during the remainder of the year. And based on the recent momentum we've seen with cell & gene therapy approvals, we are encouraged and feel confident in our full year 2024 revenue guidance. Cryoport is well positioned to capitalize on the growth of the life sciences and particularly the cell and gene therapy industry as more therapies receive FDA approval and achieve commercialization in our services and product initiatives take effect. Even with the current economic and geopolitical climate, the market is expected to expand substantially over the next few years and Cryoport is built to support its rapid growth. In summary, while our start in 2024 was softer than we would have liked, we will remain focused on our strategic priorities, continuing to expand our position in our top accounts, delivering innovation and differentiated new services and products, and remaining diligent on cost controls and productivity improvements to support increases in margins as we move through 2024. Thank you for joining us today. We appreciate your continued support and interest in our company. We look forward to updating you on our progress again next quarter. We hope you have a good evening. Thank you. Operator? 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for joining. You may now disconnect.